Operator: Good day everyone and welcome to the CME Group’s first quarter 2009 earnings call. As a reminder, this call is being recorded. At this time for opening remarks and introductions, I would like to turn the conference over to Mr. John Peschier. Please go ahead sir.
John Peschier: Thank you and thank you all for joining us. Craig Donohue, our CEO, and Jamie Parisi, our CFO, will spend a few minutes outlining the highlights of the first quarter, and then we will open up the call for your questions. Also joining us for participation in the Q&A session are Sir Richard Redding, our Head of Products and Services, Phupinder Gill, our President, and Terry Duffy, our Executive Chairman. Before they begin, I will read the safe harbor language. Statements made on this call, and in the accompanying slides on our Web site, that are not historical facts are forward-looking statements. These statements are not guarantees of future performance and involve risks, uncertainties and assumptions that are difficult to predict. Therefore, actual outcomes and results may differ materially from what is expressed or implied in any forward-looking statements. More detailed information about factors that may affect our performance may be found in our filings with the SEC, including our most recent Form 10-K, which is available in the Investor Relations section of the Web site. During this call, we will refer to GAAP and non-GAAP pro forma results. A reconciliation is available in our press release, and there is an accompanying file on the investor relations portion of our Web site that provides detailed quarterly information on a GAAP and pro forma basis. With that I would like to turn the call over to Craig.
Craig Donohue: Thank you John and thank you for joining us this morning. I am going to spend some time addressing our first quarter highlights and then turn the call over to Jamie for a more detailed discussion of first-quarter financial results. Against ongoing macroeconomic challenges, I am pleased to report another highly profitable quarter. On a pro forma basis, we achieved revenues of $647 million and operating income of $395 million. Earnings per share were $3.20 for the first quarter, and operating margin of 61% reflects the strong leverage inherent in our business model. A tight focus on expense management allowed us to keep pro forma operating expenses to $252 million, a reduction of 9% from the first quarter of 2008 and 2% from the fourth quarter. Since the beginning of the financial crisis, our message has been that while we can’t control the macroeconomic environment, we are well positioned to leverage opportunities highlighted by current market conditions. We believe that first quarter results reinforce the diversity and resiliency of the CME Group business model, which continues to generate significant cash flow throughout a variety of economic conditions. Currently, overall market conditions remain tentative and uncertain, but we do see indications of improvement, which I would like to discuss. On a macroeconomic level, we have seen improvements in investment grade corporate debt issuance from the $73 billion in the fourth quarter of 2008 to $200 billion in the first quarter 2009, approximately equal to first quarter last year. Fixed mortgage rates are near historic lows and are expected to drive increased mortgage origination and refinancing activity. The LIBOR-OIS spread was largely constant over the first quarter, indicating increasing stability in credit markets. All of these factors are positive indicators of the capital markets’ return to more normal functioning. As general markets stabilize and holders of capital seek to deploy it in the corporate and mortgage debt markets, their need to manage interest rate and foreign exchange risks drives potential usage of CME Group products. Another positive factor for CME Group volumes is the increased treasury issuance. It is difficult to predict volumes based on a single factor, but with 2009 issuance projected to be $2 trillion, we expect to see increased demand for CME Group’s treasury futures and options contracts as tools for hedging treasury holdings. The longer term duration of treasuries also means that risk related to Treasury holdings needs to be managed over the life of the instrument and thus creates multiplier effect driving demand for CME Group products. Moving into the specifics of our first quarter performance, as I mentioned previously, while there are no indications of improvement in the overall market, we can’t predict the timing or impact on our volumes. The volume environment remains challenging. First quarter volume was down 33% versus a very difficult comparable of record high volume in the first quarter 2008. However, with the diversity of our asset classes, we did have some areas of strong performance in the first quarter. CME ClearPort achieved a record in both average cleared volume per day and in average revenue per day. Average daily volume for the quarter was 629,000 contracts, up 33% from last year, and average revenue per day was $1.1 million, up 24%. Crude and petroleum products continued to show robust growth, with crude revenue increasing 55% year-over-year to $16 million for the quarter, and petroleum more than tripling to $10 million for the quarter. These growth trends are a continuation of what we saw over the past several quarters, and indicate the increased traction of central counterparty clearing in the over-the-counter markets. The E-mini complex also performed well. Normalized to exclude the Russell volume, E-mini’s were up 2% year-over-year, with the E-mini S&P 500 futures contract up 8%. This solid performance highlights the value of CME Group’s deep liquidity during times of high volatility. Interest rate volume continues to be impacted by the challenging economy. However, within interest rates there are some trends that are worth highlighting that underscore larger trends in the markets. Volume in the back month euro dollar contracts and the ten-year treasury notes is rebounding at a faster rate than front month contracts, indicating that uncertainty further out on the yield curve is driving activity, as would be expected given current Fed monetary policy. Forecasts expect the threat of inflation to eventually steepen the yield curve, which potentially has positive implications for interest rate volume. We also are pleased with the growth in our five year swap futures contracts, which have nearly doubled in volume to over 5,000 contracts per day since the first quarter of last year. These contracts provide users with an exchange-traded product that references OTC swap rates, and are one of many innovative products that we are developing to meet the growing needs of market participants for the safety and security of central counterparty clearing in conjunction with products that retain key characteristics of OTC markets. Finally, in March, approximately 8,000 contracts per day were traded using the recently launched inter commodity spread functionality, up 31% from January volume. We have gotten excellent feedback from customers on this functionality and it is a key part of our mission to continually explore ways to extend our products and technology to enhance our customers’ ability to effectively trade. As we have been doing for the past few quarters, I would like to now provide customer segment data. Please keep in mind that segment information provided is for combined, legacy CME and CBOT products. Bank propriety trading activity was largely in line with 2008 percentages. Hedge fund activity was down from 8% in the fourth quarter to 6% in the first quarter. Offsetting this decline however was a significant increase in buy side proprietary trading firm activity, which increased from 34% in the fourth quarter to 39% of the total. Non-member activity was 18% for the first quarter, in line with historical trends, but down from 20% in an unusually high fourth quarter. The remainder of the activity falls into the other member category, which is largely composed of smaller member firms and individual traders. We continue to believe, based on volume trends detailed here, ongoing discussions with broad segments of our customer base, and historical precedent, that the current environment reflects a cyclical downturn and not a secular shift in the markets’ needs for our products. If anything, the value of the centrally cleared exchange model in managing risk has been strongly underscored and this has opened new opportunities for us on multiple fronts. We continue to pursue these opportunities actively. In general, we seek to meet our customers’ needs for innovative products in three different ways, through innovation and extension of our traditional exchange-traded derivatives, through hybrid products that combine aspects of traditional CME products and OTC products, and through clearing-only services for pure OTC transactions. We also seek to increase our global customer base by introducing geographically relevant products and fostering strategic partnerships in key markets. In terms of exchange-traded products, we are gaining traction with multiple new products, including our three year treasury note futures contract and E-mini FX contracts. These contracts were launched in March and have respectively achieved average daily volume of 2,900 contracts and 5,300 contracts since launch. Additionally, in our equity complex, the E-mini MSCI EAFE nearly doubled in volume to 2,800 contracts per day from first quarter 2008, and the E-mini MSCI Emerging Markets contract nearly tripled to 1,100 contracts per day during that timeframe. On the partnership front, we are pleased with progress made on our BM&F Bovespa, order routing relationship, which showed March average daily volume of approximately 5,000 contracts per day for North-to-South order routing. We are currently awaiting regulatory approval for North-to-South trading of the iBovespa index contract, which we believe has strong interest from the US trading community. We continue to work very aggressively and make progress in discussions with participants for our cleared CDS platform, CMDX, and our cleared interest rate swap offering. We expect to have more detailed announcements on these and other OTC initiatives later in the quarter. In summary, we at CME remain very focused on managing the business with the flexibility to meet the challenges posed by the current operating environment while continuing to move forward to seize many opportunities that we see in the marketplace. We are very realistic about the many factors that need to improve in the capital markets before the crisis can be determined to be over. At the same time, we are confident that today’s conditions represent a cyclical downturn and that CME is poised to benefit from the ensuing upturn. With that, let me turn the call over to Jamie.
Jamie Parisi: Thanks Craig. CME Group turned in a solid first-quarter financial performance, despite the ongoing challenges of the current economic environment. Our GAAP results are summarized in the press release. And today, I’m going to focus on the details of Q1 on a pro forma basis, as if we owned NYMEX for all periods considered. The pro-forma’s also exclude approximately $13 million of CBOT and NYMEX merger-related items on an after tax basis. During Q1, we generated $647 million in revenue, $395 million of operating income, and earnings per share of $3.20. Average daily volumes were down 33% compared to our record 2008 first quarter, but in line with average daily volume in Q4. However, continued disciplined expense management helped offset this volume decline. The overall pro forma rate per contract for all of CME Group increased 12% to $0.833, compared with $0.743 in the first quarter 2008, due primarily to a positive mix shift. The rate per contract decreased 3% from $0.858 in Q4 2008, due mainly to a higher proportion of lower-priced member volume in the first quarter, and to a lesser extent, a product mix shift. Last quarter, we mentioned that higher paying non-members increased from 18% of total in the third quarter to 20% in the fourth quarter. In Q1, the non-member total reverted back to 18%. If you zero in on interest rates, you’ll see our average rate of $0.53 in Q1 is down from $0.57 in Q4, but up from $0.52 in Q3, while the E-mini rate in Q1 is exactly the same as the third quarter. As Craig alluded to, the algorithmic traders, who appeared to pause in the fourth quarter, played a more significant role in the volume during the first quarter. In addition, the CME ClearPort rate dropped from $2.10 in Q4 to $1.75 in Q1 due to increased volume in the new lower rate PJM products, which represented approximately 19% of volume in Q1, up from 3% in Q4. In an attempt to provide excellent transparency into our OTC business, we provided an update in our last few volume releases on these low priced contracts, which average approximately $0.10 per round turn. Total revenue from CME ClearPort increased to an average of $1.1 million per day in the first quarter, which was the best quarter in its history. Slide 9 shows the breakdown of our growth by product area within CME ClearPort. Quotation data fees totaled $86 million for the quarter, up 3% from Q1 of 2008, but down 2% sequentially. At the end of the first quarter, users subscribed to 425,000 base devices across CME, CBOT, and NYMEX. That device count is down 8,000 since the beginning of the year. I will now take a few minutes to review expenses. Total pro forma operating expenses were $252 million for Q1, down 2% sequentially and down 9% versus Q1 last year. We made a significant effort to reduce discretionary expenses, and you can certainly see the results in the numbers today. Our reductions include lower travel, training, and trade show costs, along with negotiated decreases in rates charged by several vendors and consultants. On the compensation side, we have delayed our normal salary increases, and we are only hiring in critical areas. Our largest expense, compensation and benefits, was up $3 million sequentially to $87 million, below the guidance we provided last quarter. Our combined headcount at the end of Q1 stood at approximately 2,275 people, down approximately 25 since year end. We had reductions of 35 transitional employees related to our NYMEX and CBOT transactions. We did supplement our team with several key new hires during the quarter within sales, product development, and business development areas in support of our long-term strategic initiatives and expanding global reach. These positions are primarily geared toward revenue generation. Also, within comp and benefits expense, we incurred an expense reduction of $1.3 million due to losses on deferred compensation balances. This item is driven by quarterly equity returns, and in Q1 the S&P 500 was down 12%. Keep in mind that there is no impact on our bottom line as there is an offsetting entry made in investment income. In Q4, there was a higher deferred comp reduction in salaries and benefits of $3.7 million, as the S&P dropped about 22% during that quarter. So, as I said earlier, total compensation expense increased $3 million from Q4 to Q1, of which $2.4 million is related to deferred compensation. If the equity markets post a gain in Q2, we would expect to see an increase in deferred compensation from Q1 to Q2. Our first quarter bonus expense was $9.7 million, which is down from our quarterly average run rate in 2008. We are currently running below our aggressive cash earnings target set at the beginning of the year. Stock based compensation was $8.7 million in the first quarter, consistent with Q4 of last year. Keep in mind our normal annual stock option grant comes in the month of June, so we would expect this expense to trend up a few million dollars through the end of the year. Non-compensation expenses were down $20 million versus Q1 last year and down $10 million sequentially. Depreciation was down $3.4 million sequentially, due to equipment that was decommissioned during the CBOT integration, other assets becoming fully depreciated and fairly low Capex during Q1. Marketing and other expense was down compared to Q4, primarily due to currency fluctuations, legal settlements and lower travel, training, and other employee related expenses. We do continue to spend judiciously on potential growth initiatives. For example, during the first quarter we had CDS related expense of $2.2 million in professional fees, up from $1.0 million in Q408. We realized NYMEX-related expense synergies of $7.4 million in Q1, or approximately $30 million annualized, about half way to the annual expense synergies we had identified. On the CBOT side, our integration work is complete and we have exceeded the $150 million expense synergy target. In terms of our expectations for full-year expenses, based on volumes near current levels, we are updating our guidance and we would expect pro forma expenses to be down 2% to 4% for 2009 compared to the full-year 2008 expenses of $1.08 billion. Q1 pro forma operating income was $395 million, down 27% from the record first-quarter last year. Although revenues decreased, our focused efforts to reduce expenses helped the company maintain a solid pro forma operating margin of 61% compared to a record 66% in Q1 last year. In the non-operating expense category, interest expense and borrowing costs were $39 million, and drove total non-operating expense of $36 million. As I guided to last quarter, we recognized additional one-time interest expense of approximately $5 million related to the replacement of our bridge loan in February. This one-time expense reduced earnings per share by $0.04 this quarter. On February 9, we completed a public debt offering of $750 million of 5.75% fixed rate notes due in 2014, and terminated our bridge facility. During the quarter, we paid down approximately $115 million in debt. We currently have $3.1 billion of debt, and $588 million of cash and marketable securities. We plan to pay the debt down as it comes due, which means we will be paying the lower coupon debt first. For modeling purposes, we would expect the blended interest rate to trend from 4.5% to 5% during the next few quarters, and to approximate 5% for 2010. So, as time progresses, overall interest expense should decrease while our average rate paid will increase. Pro forma net income for Q1 was $213 million and diluted EPS was $3.20. For the quarter, our pro forma effective tax rate was 40.9% in line with our expectations of approximately 41% throughout the year. Capital expenditures, net of leasehold improvement allowances, totaled $35 million in the first quarter driven primarily by data centers, software, equipment, and facilities costs. We have completed a thorough review of our 2009 plans for Capex, and we expect to spend between $160 million and $180 million this year. The reduction from our previous guidance is driven by a planned delay of Phase II of the data center construction, and a temporary deferral of construction for employee space. Now turning to recent volumes, much has been written about the decrease in volume in April, compared to Q1 or to March. Right now April ADV is down 14% versus the first quarter of 09. Last year the April full month ADV was down 23% compared to Q108, and April of 2007 ADV was down 22%. Historically, the second half of April has trended higher than the first half of April. In the first half of April ‘09, we averaged 8.6 million contracts per day. So far in the second half, we are at 9.5 million contracts. While we are far from being in a normal economic environment, it is fair to say that April 2009 volume to date is not highly unusual on a relative basis from our perspective. In summary, despite the macroeconomic challenges impacting financial markets and our customers, our strong financial results allow us to continue our focus on growing both the business as well as shareholder value for the long-term, while keeping a sharp eye on expenses. Before we open up the call up for questions, I just wanted to note that last quarter we averaged over four questions per analyst. This quarter we would like to limit everyone to one question and one follow-up, and then feel free to get in the queue for an additional question if time permits. With this in mind, we’ll now open up the call for your questions.
Operator: (Operator instructions) And we will take our first question from Roger Freeman with Barclays Capital.
Roger Freeman – Barclays Capital: Hi good morning. Okay I guess question number one, as everybody likes to talk about CDS I will ask mine, what do you think about an opportunity to create an E-mini version of a CDX index product, a smaller notion, but the problem with CDX is the average trade size is $15 million to $20 million that doesn't apply to a lot of smaller institutions or professional traders of retail, and that is something that you can do to take advantage of your trading platform wouldn't require dealer support since you don't have any, what do you think about that?
Craig Donohue: You know Roger I think – it is Craig, my thought on that this is that your credit default swaps primarily at the moment is a largely institutional market and what we're trying to do is try to work with the institutional customers and the dealers in that market to essentially facilitate central counterparty clearing of contracts as they're currently structured with some degree of standardization, but not with a view towards trying to transform their market into a market that would have a broader base of participants, at least not for the moment.
Robert Freeman – Barclays Capital: Okay that is helpful thanks. And then my second question I guess around the interest rate volume's, there is some interesting stats you saw around April, I guess one – so you know you talked in the past about so there being a correlation between issuance, volume, and trading sort of hedging volume in the interest-rate futures and we know that, you know mortgage rate volume's are picking up treasury issuance as you point out is picking up. One of the things we are hearing is that maybe there is some traders are setting out on the treasury side because it concerns about the government about to FED, you know actually buying $300 billion worth of that issuance back in and how that might impact markets and basically wherever government is interfering, private market is we are seeing in many aspects just as part of sitting out do you think there is an impact there?
Craig Donohue: Roger I think if you look at kind of the open interest in the ten-year treasure you note, you can see some of the impacts we think at least talking to some banks and some customers of the refine business, so I think you are spot on there looking at that activity. You know I think that any market that you know when the rules of the game change people do tend to take a step back and figure out what the new equilibrium is, you know with that said I think if you look at what's been happening in the fixed income market from the last couple of days is, you know kind of regardless of what some of the policies are and the market is going to take a viewpoint of what rates are and you know that is actually going to be pretty constructive for our volume's going forward because really what drives trading in the interest-rate complex are people's changing expectations or where rates are going. So that's going to be the real catalyst to bring that market back in growing back to kind of normal pace.
Robert Freeman – Barclays Capital: Okay thanks.
Operator: Next we will go to Rich Repetto with Sandler O'Neill.
Rich Repetto – Sandler O'Neill: Yes good morning guys.
Craig Donohue: Hi Rich.
Rich Repetto – Sandler O'Neill: I guess a follow up on the volume question, Craig and Rich you talked about a lot of the positive things. April is off to a slow start and if you look at open interest here, you know about the same as we where at the beginning of the first quarter and so, it's sort of says to me that it might be algorithmic trade of the turnover being less, can you talk about the pause in the fourth quarter and how they came back? Are we seeing a pause with them again here in April?
Craig Donohue: You know Rich I think a lot of, you know looking at that open interest trend I think what you're just seeing from the increased participation in the algorithmic guys is, again those guys don't put on a lot of open interest in general, so as the market starts to move now, I mean I think that'll actually encouraged them to come in a bigger way. So it is not unlikely that you don't see the volumes increase before you see open interest increase. You know, one thing to be careful onto its looking at open interest in the interest-rate quadrant is, you know make sure that you're looking at future as an option separately because that is a lot going underneath the surface there.
Rich Repetto – Sandler O'Neill: Yes that is a fair point. I looked at the open interest as actually a good thing that you are still – there hasn't been any deterioration, you are still at the same levels as early 1Q, but the volumes again the turnover had liked. Anyway that is what I was asking about. The next thing, you know I am not sure whether this was asked, I had to jump off quickly, but on the OTC market, I did hear Rogers question and it seems like as we go into possibly the bigger opportunity be in interest-rate swaps, it is a little bit similar and that the dealers, you know has concentration in it and they have, you know an offering that they are at least using right now and I guess Craig just to go over the strategy and what you see as your potential to crack that or is it strong, if the dealer sort of consortium and swap clear?
Craig Donohue: Well I mean I think it is fair to say that in all of these OTC markets, you know the dealer community is a very substantial part of the trading activities that happens there, you know I would point out a couple of things I mean first of all, you know we already have I think the largest and fastest-growing OTC clearing business, which is ClearPort as you know that is a $250 million year business for us that is growing at 70% and it is rapidly diversifying in terms of the breadth of products that we are facilitating through ClearPort. Secondly, I think that, you know I just have to remind everybody this is very early, early stages and what I think will be a long-term secular shift in the way that business has done in the over-the-counter market, I do think that central counterparty clearing services will be very complementary to the business models and profit drivers for the dealer community and you know you can't get too carried away with the idea that the dealers are already participating in a particular service. I mean well I think I should be commended for the progress that they have made, you have to remember that only three-tenths of 1% of the total growth outstanding in the CDS market has actually been migrated to ICE Trust, so there is a long marathon in front of us in terms of that and I think CME clearing is exceptionally well-positioned to be a participant in that given the strength of ClearPort and given the strength of CME clearing generally.
Rich Repetto – Sandler O'Neill: Understood. And then a very last just a quick question on the balance sheet and I may have missed this last quarter, but you are, Jamie the cash and performance bonds they spiked up at the end of the year and they came back to $9.8 billion in the first quarter, any explanation there? I may have missed it last quarter.
Richard Redding: Yes, this is Rich. In the fourth quarter last year we have gone through the economic crisis, it is just with the indication that are participants in the clearing house were very comfortable putting cash up with a clearing out they are looking for someplace to put that cash though as safe and sound, it shows CME clearing out. And as market starts to calm down you'll see that that will begin to change and they will start to invest more in treasuries and post those with a clearing announcement.
Rich Repetto – Sandler O'Neill: And there is relatively no impact on your economics because most of the interest is paid to them on those deposits right?
Richard Redding: We are in interest on the cash deposit, but you know the interest that we earn is very minimal.
Rich Repetto – Sandler O'Neill: Okay thanks guys, thanks for taking my question.
Richard Redding: Thanks Rich.
Operator: The following question comes from Niamh Alexander with KBW Financial.
Niamh Alexander – KBW Financial: Hi thanks for taking my question, good morning. I just wondered on to part space, the volume there has been so, so strong and April has come off a little bit, and then I watch (inaudible) about the new products that you have rolled out more recently as this kind of too early to get a read on some activity there?
Richard Redding: Niamh, the ClearPort volumes as you pointed out has been extremely strong. What you are seeing in the marketplace on ClearPort is also what you are seeing in the market for the listed products as well, the first couple of weeks of April was pass over and Easter have been slow pretty much anywhere you look. I think the ClearPort volumes where the biggest decline has happened in the first couple of weeks has been in natural gas, primarily driven by two factors, one is the market has been kind of stuck in a range a little bit here and the option volume as well. So as we transition out of the kind of these older months now into the summer season, you typically tend to see a pickup in natural gas, but some of that has to do with kind of the price action in that market as well.
Niamh Alexander – KBW Financial: Okay, thanks Rick. And I guess just on the ClearPort as well, can you expand a little bit on maybe some of the opportunities in the electricity market, I think there is some regulatory change happening, how about CME benefit there?
Richard Redding: Yes, thanks for pointing that out. I mean we’ve clearly been very successful with the PJM contracts that we've launched and that’s given us really an exiting platform to move into some of the other related areas, obviously some announcements that came out late last week about the California ISO was going to start using – some of our prices has been hugely popular. One of the announcements we’ve recently put out is that we will put the PJM products on Globex as well which is pretty exciting news for us to try to help mature that market. So we do see a lot of opportunity, we also – there is a number of regulatory things going on throughout the country. Texas is trying to figure out what they are going to do as well, so this is a field that’s pretty open and we look forward to coming out with some new products.
Niamh Alexander – KBW Financial: Okay, thanks. If you could help me maybe just put aside it, like that is the lower fee contract just in terms of like ClearPort’s total and business mix maybe where is it now and where you think it might get to (inaudible)?
Craig Donohue:
Jamie Parisi: Niamh, this is Jamie. If you look on slide nine, there is a breakdown of some of the ClearPort revenues you can see on there and then PJM was – I want to say about 122,000 ADV in the quarter of the total 629 for ClearPort.
Niamh Alexander – KBW Financial: Okay, that’s helpful. Thanks, Jamie. And then just if I could fix to volume but move over to futures contracts, the equity futures contract which has been so strong, you know where the rate complex has come off quite a lot, we are seeing that a slow and then maybe arguably unusually saw recently, I'm just wondering if you are seeing any trends if it's maybe related to volatility kind of easing a little bit or is it something towards a mix shift in customers.
Craig Donohue: I think some of it has to do with what's going on in the underlying market as some people are very, very focused on single name risk right the second. I think to be careful on how you look at the equity market going forward here because liquidity is still key – something we look at is depth of what we've seen rebound from kind of December is we are seeing the depth of book increase more than two and a half times. So what we're starting to see is people starting to take a little more risk there, obviously debt to book doesn't get us volume but it does give you some general indication that people are returning to the market and willing to commit risk. And one of the things that has been troubling to us and we've have constantly said is, volatility has been so high in some of these markets. We are actually encouraged to see it coming down because you will see the depth of the market and people taking a little more risk increase, you will also start to see people – coming back to the options. So people are talking about volatility in that market, but there is still extremely high levels from historical perspective. So people got excited when volatility – when mix got into the mid-30s the other day and then in spite rate backup. So I think putting it in for some historical perspective is important.
Niamh Alexander – KBW Financial: Okay, that’s fair enough. Thanks, Craig. And then just lastly if I may, the balance sheet – thanks for the color Jamie on the repaying the debt, but you still have quite a lot of cash, your stocks – its rather stable here. Should we still think it’s the priority use of cash is kind of repaying debt or maybe even repaying debt ahead of schedule or is there any room for share purchases there in the next six, nine months?
Craig Donohue: I would say for now our focus is definitely on debt reduction.
Niamh Alexander – KBW Financial: Okay, that’s great. Thanks for taking my questions.
Craig Donohue: Thank you.
Operator: Next we will go to Mike Vinciquerra with BMO Capital Markets.
Mike Vinciquerra – BMO Capital Markets: Thanks very much. One more question for Sir Richard if I may. Just on the interest rate, I'm just curious Rick why you guys have never really had a mortgage product, it seems like a natural add on – I used to cover the mortgage companies, they will hedge (inaudible) production even their servicing portfolio is using treasury futures and it just seems like its a natural product for you guys give a new customer base. Can you talk about that a little bit?
Richard Redding: Yes, believe it or not, we started in the interest-rate business way back win with the Jimmy Mary [ph] contract, going back a long number of years ago – in the early 80s actually. So, yes, probably the mortgage side has always been what the underlying is and some issues about deliverable supply, most people as you pointed out Mike have huge treasuries to hedge that exposure. In normal times, that's been a pretty good hedge. I think towards the end of ’08, obviously people had some issues there, but in a more normal functioning market it’s been a pretty tight correlation, it's been a pretty hedge for both.
Mike Vinciquerra – BMO Capital Markets: So at this point you don't think there is actually a need or do you think that the current market conditions are kind of creating that sense for people that there is a need for better corollary product.
Craig Donohue: It’s an area we look at all the time, that's one from kind of a regulated futures contract, a pretty difficult one to structure the product to make sure that it doesn't have some issues like settlement.
Mike Vinciquerra – BMO Capital Markets: Okay, very good. And then just one question for Jamie, you mentioned that data screens down about 8000 from the end of the year, has that been accelerating at all or should we continue to expect some moderation in the numbers of subscribers?
Jamie Parisi: It's tough to say. I think you will continue to see a somewhat – some moderation as the crisis plays out over time in the way of (inaudible) flows through, but I think we're – it hasn't been a dramatic drop off as I would have anticipated at the beginning of the crisis.
Mike Vinciquerra – BMO Capital Markets: Great, okay, thank you guys.
Operator: Now, we move on to Ken Worthington with J.P. Morgan.
Ken Worthington – J.P. Morgan: Hi, good morning. On page six of the slide deck, you show there is a high correlation between treasury expense and futures trading volume, it seems like there is a big opportunity. But when I dig into it, treasury issuance doubled in November ’08 and ramped to get in February bringing the treasury issuance run rate to the J.P. Morgan economist think is – will be maintained for the rest of ’09. We haven't seen either open interest of volume increase and it's been six months, and actually if my data is correct both are down materially since the issuance started to ramp. So I was hoping you could flush out that side a little more, it seems like there is a big opportunity – I can’t get things to line up – was wondering if you could offer some help.
Craig Donohue: Yes, I think you need to be a little careful on how you look at that. It's not the fact that issuance is out there that really generates the volume, it's the fact that the people hold that exposure and as rates move, people have to adjust that exposure. I think what you are seeing now is a lot of issuance and not people – people not expecting a whole lot of changes in rates, so I think as – if you look at that from a historical perspective, it's really a second piece of it that drives volumes and a good part of that is once that exposure gets out there, if you get back to the rate environment that moves or yield curve that moves around a bit, that's probably pretty positive for us and that's why that correlation is so high.
Ken Worthington – J.P. Morgan: So, I think about – issuance is sort of the opportunity, but expectations for rate changes is kind of the catalyst, so the fact that issuance has gone up is a really good thing, we just need that fall through with the rate and then we start to see big pick up in volume that kind of it.
Craig Donohue: Yes, correct because it really is a timing issue of when you see those volumes kick in and as you get the multi-year exposures at the treasuries put out there I mean you give us a lot of opportunity for people to change their mind or peoples views on inflation to change and that gives us a lot of opportunity for volume.
Ken Worthington – J.P. Morgan: Okay and then based on history is there a common lag like six months lag, nine months lag, 12 months lag anything that you guys have noticed as you guys have analyzed the data?
Jamie Parisi: That is a lot more variable than one would expect. A lot of it has to do with again changes and right to anticipate changes right. The other issue is, on this is we’ve just never seen issuance at this kind of level before, so we are in a little bit and uncharted territory.
Ken Worthington – J.P. Morgan: All right thank you. And then on ClearPort great success here, launched a lot of new products, does that pace continue into 2Q in 3Q? That's it thank you.
Jamie Parisi: We have a pretty full place right now of what we think we can launch, I mean the environment has created our customers the banks, the interdealer brokers of giving us all sorts of ideas of what people want to trade, I mean especially in the energy area and the commodity area this has been a place where, you know it's the way to keep those markets functioned, keep those markets trading. So really to be perfectly candid, you know it is more of an issue of which products do we get out given the market opportunity because we head there are just ideas coming in every day.
Ken Worthington – J.P. Morgan: Great thank you.
Operator: Next we will go to Howard Chen with Credit Suisse.
Howard Chen – Credit Suisse: Good morning everyone.
Jamie Parisi: Hi Howard.
Howard Chen – Credit Suisse: Firstly I want to touch on the OTC market from a different angle, new administration and Congress have made some pretty broad statements about producing systemic risk and more highly regulating derivatives market I guess Craig or Terry from your perspective can be discuss how you envision progress along the Washington DC front, how that timing potentially place on your mind and some of the positives and negatives?
Terry Duffy: Well I think there is not a lot to say, I mean you said it right, which is certainly Secretary Gaitner and others have indicated that they want to see more central counterparty clearing applied to over-the-counter derivatives transaction. There has also been as you know some congressional proposals, legislative proposals to mandatory require central counterparty clearing for OTC transactions, we are opposed to that I mean we actually think that there is a range of products that probably are not suitable for central counterparty clearing, but more importantly we think that the role for government if there is one is to provide, you know essentially incentives for the private sector to increasingly adopt central counterparty clearing services where it makes sense to do so which again is not in all cases. I think that is probably where we are going to find ourselves. I do think that there will be likely changes in regulatory capital requirements and other regulatory policies that will help sort of encourage the sell side, as well as the buy side to increasingly rely upon central counterparty clearing.
Howard Chen – Credit Suisse: Just to follow up on that Craig, I think as you workout and the management team worked out the strategy on the OTC front is it imperative and important that you have new legislation in place or do you work under the assumption that you can win share from the OTC market without any change from the DCC?
Craig Donohue: Well I think it is absolutely the case that we can and will be successful over time in providing over the kind of clearing services, you know I mean again you know I accentuated already the success that we're having with ClearPort and broadening of the product range that is being facilitated through ClearPort. I think if you just fundamentally look at the decreased leverage in the market, the stresses on the banks in terms of their balance sheets, the interference with the normal functioning of the over-the-counter market, I think it is clear that we provide a lot of complementarities to the existing business model and profitability of the dealer community, I think it is important just to say that (inaudible) is to take share from the OTC market, but really to just sort of work with the market participants in a complementary way where we can add value to their business, enhance their business model, enhance their profitability. It is not a competitive content, it is a collaborative content.
Howard Chen – Credit Suisse: Okay thanks for that clarification Craig. And Jamie on the revised expense guidance wanted to drill in on your commentary that if ADV holds near current levels that pro forma operating expenses should be down in roughly 2% to 4% from last year's core, I guess the way I run the numbers, the midpoint would be down 30 million or so which in my mind it's really just the incremental NYMEX synergies, so would you agree with that and if so where is the core expense growth of the franchise coming from?
Jamie Parisi: Well you know first of all when you look at the expense base overall there is always going to be some level of growth all of the same right just from price increases inflation and that sort of thing. So I wouldn't say that it is all just NYMEX synergies that you are seeing. We do think that there's going to be expense growth across some of the key categories including, (inaudible) for example we have got the June grants coming up, I mention earlier, the potential for deferred comp, the increase as the markets potentially rebound that was a $1.3 million reduction in expense in Q1 and if the markets turn around that could actually add to expense going forward. Clearly from all the questions that we have talked about in the call today we are very engaged in working on our OTC initiatives, so there is going to be professional fees and other costs associated with that, so you will see some of those expenses from that and then on the other expense line some of the benefit we saw there was one-time in nature and that it was FX fluctuation or some legal settlement sought off impacts. And then just going forward we will continue to not just on the OTC side, but other strategic initiatives, you know we are engaged with the Korean exchange, we've got the green exchange that we're working on, so these things do take some additional expense in, I think there would be some of the drivers.
Howard Chen – Credit Suisse: Okay thanks so much for taking my question.
Jamie Parisi: Thanks Howard.
Operator: And now we will go to Chris Allen with Pali Capital.
Chris Allen – Pali Capital: Hi guys how are you doing?
Craig Donohue: Great.
Chris Allen – Pali Capital: Just one quick question, the emissions market is exploding in terms of volumes right now and obviously there is a lot of chat around cap and trade implementation, can you just give us some quick thoughts on that market what you guys are doing to pursue that market over the longer term?
Craig Donohue: Well you know I will start and then turnover to Rich, but this is an area that we are very excited about and very focused on as part of our acquisition of NYMEX you might recall that they had begun putting together the green exchange initiative, which is the consortium initiative involving not just CME Group, but a wide range of leading market participants with an interest in emissions and biofuels trading. We've been working very, very hard over the last six months to bring that consortium and offering to market, I think you know it is fair to say that we are very encouraged by the commitment of the administration and with the legislation that we are seeing thus far in terms of you know cap and trade and facilitating essentially a market for trading in emissions credit. So, we're making very good progress on that. Rich I don't know if there is anything you want to add in particular.
Richard Redding: Yes just this one additional thing I think Craig covered it well, the European market obviously is much further along in more developed than the US market. There is still things that the administration and Congress needs to establish and create some regulation around before I think you'll see the robust trading in the United States, but you know that is a pretty big opportunity for carving credits in emissions here in the US.
Chris Allen – Pali Capital: Great thanks a lot guys.
Operator: And we will move on to Don Fandetti with Citi.
Donald Fandetti – Citigroup: Hi good morning. I know the pricing environment has been pretty quiet, I was just curious as you look out over the horizon are there any areas in your business or products where you might be raising or lowering prices?
Craig Donohue: Yes, Don, I think it is difficult to comment on questions like that, but we do tend to look at pricing on a very regular basis and I think you’ve heard us say before that the overall financial market conditions have been such that we've been – we've taken a pause from that just recognizing the impact that has occurred to our customers from the overall market condition, but we do continue to look at pricing on a regular basis.
Donald Fandetti – Citigroup: That's all I have, thank you.
Operator: And we will take a follow-up question from Roger Freeman.
Roger Freeman – Barclays Capital: Hi, I just have a few follow-up here. Craig, you were talking about sort of the collaborative efforts that you approach sort of the OTC market – I guess not to put you on the spot, I mean disrespectable, but I mean you talk to a lot of dealers in private, there seems to be some distrust of the CME organization, I think they view you as a monopoly to some extent with a lot of rising power and it doesn't feel like they want to work with you and I guess my question is, what do think you need to do to get back message from your point of view better out to the dealer community and are you doing anything different then you have done in the past?
Craig Donohue: No I think that's a good and a fair question. I mean I think first of all, we have a lot of areas where we're working very, very well with the dealer community. I think ClearPort is an excellent example of that by the way where we’ve had tremendous support from both the dealer community, as well as the interdealer brokerage community. I think one of the things that we've been trying to do is to really sort of be much more collaborative with the dealer community again in a non-competitive way, but in a way that reflects kind of a spirited partnership in collaboration. We're trying to get greater emphasis to how – complement their business and profitability through central counterparty clearing and being less oriented in our approach towards execution services or radically changing the existing market structure. So we're trying to kind of bring our capabilities into the way the market functions best for them and for the other market participants. We are doing a lot of outreach right now to communicate that approach by CME Group with the leadership of the folks in the dealer community and the investment banking community if you will. So, I do think that we have modified our approach considerably and I think that that actually is resonating with a lot of the top people at the firms, that's something that takes time, but I think drove that basis of trust and really accomplished a lot, obviously from a reputation perspective I think they recognized the seller strength of the CME clearing capabilities and I think they also recognized the strong position that we have in terms of capital and performance bond efficiencies and the rigor of our risk management system. So, we have a lot to build on, but here we are modifying our approach to really kind of step expand the other branch and build those bridges.
Roger Freeman – Barclays Capital: Okay that's helpful. And then I guess on our new products, there has been a few questions around that. Are you looking at products to help manage just more broadly basis risk like things like CDS versus cash basis or corporate bonds, CMDX versus CMDS. If you look at a lot of the losses this management and institutions have sustained late last year, it was the basis risk diversion, so things like that it could be some real demand for some help in that area.
Craig Donohue: Yes, I think it's a great point Roger. It is to think about where we can go, you know with some of our ClearPort thoughts and thinking about how do we clear some of that to help people.
Roger Freeman – Barclays Capital: I mean are there some stuffs into the efforts underway on that front?
Craig Donohue: Yes, we have not analyzed anything at this point, but obviously those are areas that customers have been pointing out to us as well, and clearly is the need in the marketplace.
Roger Freeman – Barclays Capital: Okay. And on terminals, one more question on that, so they were down I guess a couple of percentage points, do you think about any lay offs across (inaudible) 10% if not more, how do you think about the flow through effect of that overtime, I mean how long does it typically take for actual subscription we get turned off?
Craig Donohue: As we looked historically, we've seen a more significant job up in terminals, but I think what we've got going for us now is that since the last time of the major lay off (inaudible) firms have got much more efficient in their allocation of their terminals and we’ve also gone to different sort of enterprise-wide agreements with some of the key contributors, which mitigate some of that mix. So, I don’t know you can necessarily look to history to exactly – will tell this is going to happen.
Jamie Parisi: Yes, Roger, one other thing to point out on those terminals side is, Wall Street is just part, you know the sell-side banks are just a part of that customer base, we’ve actually seems to strengthening and people especially around the commodity and energy areas of running access in a market data. So I think that's help balance it out.
Roger Freeman – Barclays Capital: Okay, that's helpful. Couple of quickies here. The increase in algo user as a percentage this past quarter, did you – you said they sort of dropped off in the fourth quarter, do you view them as sort of more back online on a normalized basis or is it still sort of building?
Jamie Parisi: Yes, that's one of the hard questions I ever know. I mean a lot of it has to do with market opportunity because a lot of those algorithms are based on relationships between market and price – and price movements within the market. So that's hard to know.
Roger Freeman – Barclays Capital: Okay and very last question, just one more macro, I mean kind of looking at your business in aggregate and you are for the most part the futures market borrowings for really one other competitor in the U.S. As you look at your growth rate going forward longer term, what are the things that you think most move the need on, I mean it sounds we've been talking a lot about sort of the OTC opportunity, is that really what we should look to other than M&A?
Jamie Parisi: Well, I think I would say continued secular trends generally speaking I think people have lost sight of that in light of the overall global economic issues in financial markets and dislocation over the last six to nine months, but I think the long-term growth rate for this industry will continue to be very kind of commensurate with the last 20, 25 years. I would add globalization as key part of the growth drivers for the future of the company. I always like to remind people that in the early 1980s, we in the Chicago board of trade when CME in the board of trade was separate were roughly 90% plus of the global market for listed futures and options contract. And a decade to 15 years later, we were in the mid 40% on a global basis and yet during that same time we had roughly compounded annual growth rate of 18% to 20%. We clearly have tremendous growth still occurring in emerging markets and we have a very broad product base with global appeal. We have, I think the best distribution in customer relationships globally and we can leverage that to our advantage, as well as with the strategic investments and partnerships that we either have had or intent to put in place.
Roger Freeman – Barclays Capital: All right. Thanks a lot.
Operator: And we’ll take our final question from Edward Ditmire with Fox-Pitt, Kelton.
Edward Ditmire – Fox-Pitt, Kelton: Thank you. My question is, our new products particularly OTC products deemed to be lower margin affairs, first legacy futures business not just with CME, but on an industry wide basis, it seems like on CDS standard operating procedure for launching in platform includes generous equity sharing for every discounts and the best ClearPort launch is the power contract for low cost contracts. I am wondering as years from now, we would see the OTC opportunity has something that’s both the low volume and low margin.
Craig Donohue: Actually, the pricing of all those contracts are all over the place. I mean if you look at some of the things on ClearPort, we actually get higher RPC for just clearing than we do for products that are listed and cleared. It just happens in your example Ed that PJM is actually intentionally was a very small product because we thought it would help trade better and generate more cleared opportunities for people. So I don’t agree with the premise that they will be lower RBC contracting – in contrast, we actually see at a number of places, we actually capture more just for the clearing piece of it. And I think people are also valuing clearing so much more than they would probably historically have looked at because of the crisis.
Jamie Parisi: Ed, this is Jamie. You don’t forget, our ClearPort RBC is around $1.75 versus our overall of $0.833. I think that’s kind of highlights that there is no opportunity there on the OTC side.
Edward Ditmire – Fox-Pitt, Kelton: It just seems to me particular with the highest experience at – the dealers are showing ability to influence a pricing discussion to a large extent more so and probably I think that they have been able to influence the legacy futures business.
Craig Donohue: I don’t know whether we can comment on what basis pricing is.
Edward Ditmire – Fox-Pitt, Kelton: Okay, thanks a lot guys.
Craig Donohue: Thanks, Ed.
Operator: And we have no further questions at this time. I would now like to turn the call back over to our speakers for any additional or closing remarks.
Craig Donohue: Well, thank you everybody for joining us this morning. We look forward to talking with you again next quarter.
Operator: This conclude today’s conference call. Thank you for joining us and have a wonderful day.